Operator: Good day and thank you for standing by. Welcome to the Upwork Q3, 2021 earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your first speaker today, to Mr. Evan Barbosa, Vice President of Investor Relations. Please go ahead.
Evan Barbosa : Thank you. Welcome to Upwork's discussion of its Third Quarter 2021 financial results. Leading the discussion today are Hayden Brown, Upwork's President and Chief Operating Officer, and Jeff McCombs, Upwork's Chief Financial Officer. Following management's prepared remarks, we will be happy to take your questions. But first I'll review the Safe Harbor statement. During this call, we may make statements related to our business that are forward-looking statements under federal securities law. These statements are not guarantees of future performance, but rather are subject to a variety of risks, uncertainties, and assumptions. Our actual results could differ materially from expectations reflected in any forward-looking statements. In addition, any statements regarding the current and future impact of the COVID-19 pandemic on our business and current and future impacts of actions we have taken in response to the COVID-19 pandemic are forward-looking statements and related to matters that are beyond our control and changing rapidly. For discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC website, and on our Investor Relation website, as well as the risks and other important factors discussed in today's shareholder letter. Additional information will be set forth in our quarterly report on Form 10-Q for the quarter ended September 30th, 2021, when filed. In addition, reference will be made to non-GAAP financial measures. Information regarding the reconciliation of non-GAAP to GAAP measures can be found in the shareholder letter that was issued this afternoon on our Investor Relations website at investors. upwork.com. As always, reported figures are rounded, unless otherwise noted. Comparisons of the third quarter of 2021 are to the third quarter of 2020. All measures are GAAP unless cited as non-GAAP. Now, I'll turn the call over to Hayden.
Hayden Brown: Thanks, Evan. And thank you all for joining us today for our third quarter 2021 earnings call. We are pleased to report another great quarter in which our team has continued to innovate, bringing us closer to realizing our vision of the world's work marketplace. We've not only delivered on our strategy, but we have also started to capitalize on the opportunities that Upwork is uniquely positioned to realize. As a result, GSV grew 38% year-over-year to reach 904 million and revenue grew 32% year-over-year to reach 128 million. A number of active clients grew 25% year-over-year and GSV per active clients grew 12% year-over-year, proving both a strong pull of our platform and the strength of both sides of our marketplace. We are in the early days of the adoption of independent talent, and it continues to trend higher because of the sheer size of Upwork's global population, and our unique leadership vantage point. You can see a number of critical trends that will dictate the next few years of growth for not just us, but all players in the space. First, the corporate war for talent has intensified and moved to a new frontier as 10 million Americans are currently considering leaving their full-time jobs to gain more flexibility freelancing. Organizations are also increasingly realizing that talent strategy predicated only on full-time employees doing all the work will be fem behind. Second, a new type of career path has emerged with half of the Gen-Z talent pool actually choosing to start their careers in freelance rather than full-time employment, reflecting an important mental shift in the workforce. Third, as more and more customers participate in this market, they tend to invest in one preferred platform once they found it. We already see this trend with larger companies as they adopt solutions like our Bring Your Own Talent Product as part of their own moves towards the vendor consolidation. To capitalize on these insights, as well as on our $1.3 trillion total addressable market, we are focused on a rapid succession of innovations that will empower talent and clients with powerful, mutually beneficial relationships that they can initiate in the blink of an eye. And leverage over the long term to meaningfully transform their businesses. These relationships feel familiar to customers in their robustness, but the range of work model supporting them from project catalog to talent marketplace, to talent scout, feel very different to the rigid work paradigm they replaced. They're flexible, dynamic, and fast, and customers aren't able to access them anywhere else. They will define the work marketplace upon which tomorrow's businesses are built. In support of these trends. We continue to evolve our offerings to meet and anticipate emerging customer needs. Project catalog was launched earlier in the year, and talent scout was launched last quarter. Today, we're introducing virtual talent bench, a collection of features that services even deeper relationships between talent and clients, than ever before. It's essential place where clients can easily access, assemble, and deploy the talent they love. With this launch, we are simplifying the process of staying connected to talent, finding promising professionals for future projects, and organizing their talent network. These features also enable independent talent to streamline their opportunities for repeat business and enhance their ability to farm stronger relationships overtime. Virtual talent bench begins to erase the barriers inhibiting collaboration with full-time employees and independent talent and allows clients to think of and use their wider Upwork talent base more fluidly to enhance the capabilities of their team. These offerings complement our other solutions in our effort to make Upwork the singular destination for clients to build and manage their distributive workforce, such as payroll, compliance, and Bring Your Own Talent. We're also very excited about new tools and benefits offered through our partnerships with Loom and Catch, which supports talent in their transition to more autonomy through freelancing and make a long-term career in freelancing even more viable and attractive. Together, these moves address all of our customer segments and make Upwork more instrumental in the lives Our remote workers and clients. To further support the impact of our innovations we're also heavily invested in evangelizing and scaling our work marketplace. To augment our successful performance marketing, we're now attacking our single-digit unaided brand awareness by turning up the volume with an expanded brand marketing strategy that will spotlight the highly skilled professionals who call our work marketplace home, and increase awareness of Upwork among more prospects. On the sales front, we've hit yet another record level of sales productivity and are moving forward with our plan to expand the team. We continue to see strong execution with new enterprise plan customers in the quarter up 143% year-over-year. And a number of customers who spent $1 million or more in the trailing 12 months up 11% quarter-over-quarter. A wonderful example of this a leading tech Company operating an online lodging marketplace that just surpassed $10 million of spend within its first year as a customer on Upwork. Our program teams successfully built out a mass communication and onboarding strategy for both hiring managers and talent at the Company. Added more than 1,500 of its existing talent population to essentially manage program through the Upwork platform using our Bring Your Own Talent Capabilities through our enterprise suites, and build new relationships with key stakeholders throughout the business, to leverage Upwork to drive critical initiatives forward. Everything we do continue to be focused on getting people to that tipping point of positive experiences faster, more easily, and more effectively. This means inventing powerful new ways to form relationships in our work marketplace, improving the quality and depth of our offerings already in our portfolio, and creating experiences that push people to behave and think differently about how work gets done. We have a remarkable team that knows how to open the minds of our clients and talent on every front, from product and user experience to marketing, sales, and community building. Our greatest strength is the fact that Upwork is built for the long-term evolution of work that is unfolding right here and now. With our own hybrid team in which independent talent out number employees by more than 2 to 1. And in which a distributed workforce of 2000 people across more than 80 countries, was already our way of working well before COVID. We know what great things are possible when teams and companies lean into new ways of working, leveraging the power of distributed talent and freelance contributors. While leveraging the power of these capabilities, does require businesses to embrace change. We too are a Company that has seized change opportunities by the horns, increasing our own rate of change over the past two years. And we are still early in our journey. We can't wait to see what other organizations do as they seize the opportunities afforded by the unprecedented shift in. How work gets done, and how they utilize the tools we're building for them to capitalize on this shift and improve the impact and effectiveness, adaptability, and inclusivity of their teams. Thank you for joining us on this journey. We will now open the call to your questions.
Operator: Thank you. [Operator Instructions]. Please stand by while we compile the Q&A roster. I share our first question comes from the line of Bernie Mamtani from [Indiscernible], please go ahead.
Bernie Mamtani: Great. Thanks for taking the questions. Just first on the labor market, the labor shortages out there, especially in the US, have been well-documented. I'd just wondering if that's been the driver for people or demand to your marketplace. I know that a lot of the shortages out there, maybe for jobs that could -- that might not be applicable to your market, so just wondering how it's been a tailwind or not. And Hayden, I know you touched on it, maybe with the corporate war for talent in your -- in the prepared remarks, but just any thoughts on that.
Hayden Brown : We definitely see that this is a moment where talent is in short supply every business, and that's not a new trend. I mean, certainly the war for talent was something that CEOs we're talking about and wrestling with, before COVID, coming into COVID and now with the great resignations. This is something that every Company is really struggling with. So, we're seeing some tailwinds for that from that for sure, but I think what we're trying to do is really lean into this moment with, for example, the brand marketing increase that we're starting in Q4, to really raise the awareness that Upwork can be a solution for that. Because I think everyone understands the problem but with our single-digit on needed brand awareness on the client side, most companies still haven't figured out that Upwork can really be the solution. And so, we're seeing a little bit of that Tail-end right now. But I think there's a lot more runway for us to build momentum there as companies connect the dots to the fact that brilliant talent, independent talent is highly skilled, is on our platform, is ready and able to solve so many of the challenges that these companies are wrestling with which are long-term challenges that are not going to go away, once the calendar is crossed over to January 1, 2022. So, we're really focused on helping them realize that this is where the solution lies.
Bernie Mamtani: Understood. Thank you. And then I just wanted to hit on the enterprise sales force so exciting, doubling the land portion of the enterprise salesforce next year. Can you just walk through maybe in greater detail why now is the right time to be making this investment in your confidence that new hires over time will be able to deliver the same level of productivity that you're currently hitting.
Hayden Brown : Our number one focus over the last couple of quarters has been building a really high performing machine in the enterprise side. Following very clear gates on unit economics, following a playbook around who the sales team is selling into and what that looks like. And we've just seen some really great performance from that team exceeding our goals quarter-after-quarter. So, our confidence is very high that the playbook is working. And we're just focused on expanding the team at a rate that we feel comfortable with where we're not going to break the model by moving too fast, but we're going to move as fast as we can to build the momentum there because we're seeing so much success with the playbook the team has built.
Bernie Mamtani: Great thanks for taking the questions.
Operator: Thank you. And so, our next question comes from the line of Nick Jones from Citi. Please go ahead.
Nick Jones : Great. Thanks for taking the question. Maybe if we come on the same line as they came as enterprise clients think about adopting the solution, I think we're seeing in the news there's a bit of a tug-of-war just between the employees in the corporate now on like who wants to go back to work, who doesn't? Do these kinds of solutions really come up now as part of solutions? Are they still kind of busy trying to figure out whether they are in a capitulate to employees or not? It allows a more remote dynamic. I guess the broader question is, is it kind of a longer timeline to drive this kind of adoption given kind of the confusion, maybe going on now on, even what they're kind of core working environment is going to be like?
Hayden Brown : You can also just steer clear of that tug-of-war because I think the lesson that companies have learned to depend on make is that remote work definitely works for a big portion of their workforce, whether or not they're calling some of those employees back into the office or not, they've definitely figured out that models like ours can absolutely serve them and so the conversations we're in with customers is around they know they need access to talent, but they just can't get through some of the traditional models, whether it's a full-time hiring, whether it's their staffing firms, those solutions are not serving them. And they know that remote work does work for some aspects of their work. And even as we're talking to customers about pulling their teams back into the office. They know some of that's going to be flexible work. Some people have been working from home. So, when they're engaging with us, they're trying to figure out how do I make those lessons around remote-work permanent with Talent solutions that are not about talent acquisitions, it's been more about Talent access. Programs that put into permanent place freelancers doing workloads. and programs that are built around freelancer talent that move forward into 2022 and beyond. And that's not really affected by whether or not some of their employees are going to be in the office or not. These programs are really irrespective of those decisions. And I think that's where clients have figured out that this is something that they need that's not going to be about, office work or not, this is just work that they need to drive their critical initiative.
Nick Jones : Got it. Thank you. And then maybe on partnerships. You make -- there's new partnerships announced, I think fairly frequently Loom and catch. Are there opportunities of partnerships that are maybe more geared to the enhancing, like partnership with Squarespace or something like that where people are being facilitated, maybe they're trying to do it themselves, but they can quickly access Upwork? And I guess are the barriers to entry to create those types of partnerships is they're a reason that there's not maybe more GV in enhancing? Partnerships, or maybe I'm just thinking about this the wrong way, but would love your thoughts.
Hayden Brown: I think the partnership aspect of the business serves us in a couple of different ways. And some of the ones you've rolled out so far definitely are focused on increasing stickiness of the product, engagement of users, serving the core needs they've had. Zoom was an example of that, Loom is another example of that. Our team is also always working on multiple options during the partnership phase, and I think as we have different partnerships to announce, we'll certainly hear about those.
Nick Jones : Got it. Thank you for the questions.
Operator: Thank you. Our next question comes from the line of Nit Schindler from Bank of America. Please go ahead.
Nit Schindler: Yes. Hi. Thanks for taking my question. You guys are talking about jacking up your back brand spend doubling or coming into this next quarter or more from where you were. What's the return you're looking for on that? When do you think you'll get the advantage of that brand spend? And obviously that it's EBITDA in the near-term, but when do we see the benefit start flowing into revenue?
Hayden Brown : Upwork into a world-renowned brand is definitely takes some time and so this is a multi-quarter, potentially multiyear type of initiative. But we definitely, we will be looking to these investments to have an impact on the business, and certainly we have multiple measures around the investments that we're going to be looking at, every single week, every single quarter, trying to triangulate that and optimize things like channels and creative building on the lessons we had from the Q2 campaigns we're running. That certainly is informing our Q3, Q4, investments in this area. So, it's definitely going to be dynamic. But I think we do know that brand spend is not like performance spend, it doesn't give the immediate in-quarter return. This is a longer-term investment, but one that we think is both critical and worthwhile, given the trillion-dollar team that we're going after, given the fact that our unaided awareness with customers is still low, and we've seen some traction in the past with brand campaigns having messaging that does resonate with customers, does begin to change their views about how Upwork can serve them. And that's really what we're going after here is building this new category. It does require a level of investment and patience that we will have, even as we will be very rigorous in measuring and managing being dynamic with that investment, as we get feedback from the test that we run.
Nit Schindler: And is this brand campaign that you're going to run in the fourth quarter or start in the fourth quarter, is it -- other than scale and scope, is there any significant differences between the types of campaigns you've run on the past? And on the types of brands campaigns, you've run in the past, how quickly did you see really returns from that?
Hayden Brown : It's built on the lessons of the Q2 and Q3 campaign. So, it is evolving on the platform we've already launched around the work marketplace category. Building on those insights, so it's not materially different, but it isn't evolution. And I'd say it puts to work the insight there around things like channel and audience and creative. So, I think that's where math we're getting smarter every quarter as we are in the market doing brand messaging about when and how that can be effective for us. So, we're putting those insights to work and those are real. We see leading indicators around things like our aided awareness numbers starting to move. And then those things eventually do translate into metrics like registrations, job post, things like that on the site. But we know we know again, that those things take time to move through the funnel and that's where we have a measurement framework set up around that. So, we will be patient but also diligent, in terms of watching and measuring those things as the campaigns are in the market.
Evan Barbosa : Just to add onto that, some of the metrics do obviously move faster, whether they're registrations or client starts, and some metrics are much more -- take longer to truly understand in terms of lift to engagement and retention on the platform, which would anticipate that the brand spend would have. But did you they do just take time, much longer time to understand the true impact of that.
Nit Schindler: Great. Thanks.
Operator: Thank you.
Operator: As a reminder to ask a question you will need to [Operator Instructions] Our next question comes from the line of Marvin Fong from [Indiscernible]. Please go ahead.
Marvin Fong : Great. Thank you. Good evening and thanks for taking the questions. Just a first step. I may on boosted proposals I was very interested to see you guys mentioned that. Is that I think you guys said it wasn't us being tested. How likely is that to actually be officially deployed on the platform? And then it could be helpful if you could give us some idea of how you're thinking about the opportunity, whether it be in terms of revenue as a percentage GSV or an increase in take rate, what the opportunity there might be? And then I have a follow-up after that.
Hayden Brown : Sure. The product feature was the proposal was the first time that we've introduced an auction mechanism to marketplace which we're really excited about Marvin. Because it really gives talent a better ability to really signal their interest around certain job opportunities. And so, in terms of when if the feature will fully launch, the team is still reworking some aspects of the feature in the auction mechanism based on what the initial test was. So, I don't have an exact date for you on that, but we're definitely working with a lot of intensity on that, because we think the product is very valuable. And then in terms of the overall opportunity, the first focus of this feature, as some of the other things we're doing like availability badges, is not about just driving GSE and take rate, although that is a side benefit of these. The first and foremost focus is around really monetizing human attention in a way that makes people signal their interest and intent around jobs on the platform and really making that something that is highly valued. And therefore, we get better signal quality around certain aspects of people's interest in jobs. So, we're trying to use some of the insights we have from the initial testing to continue to innovate in the SPAC. And then over time, these things will drive things like fill-rate and generate new revenue. But right now, it's early in these features and these are not things that we're expecting to generate meaningful top-line impact in the near future.
Marvin Fong : That's great. Thank you. And then my follow-up, just on the disclosure in the active clients and the GSV per active client. I think active clients year-over-year growth was in the mid-20s. I think in terms of actual number was a bit of a slowdown from prior quarters and then the GSVs moving around a little bit. Just wondering if you could help us think about was that as expected this quarter and what we should think about these two KPIs doing in the fourth-quarter. Thank you.
Evan Barbosa : Sure. We continue to see good strength on both of those metrics in Q3. We don't provide guidance on them as a metric going forward. But from a return perspective, we would expect GSV per clients would continue to show strength and there's a number of different dynamics beneath the surface there, that give us confidence that there's good growth to continue coming from there. Obviously, both of these numbers are -- will start to lap some of the strength that we saw over the last year. And so that will impact the numbers in some way, but what we're seeing in the business is, the absolute levels of
Jeff Mc Combs : clients spend per client, what not are maintaining at kind of record levels that we set during the pandemic with a return to some normalcy on a week-to-week and month-to-month dynamic. So those are really the key drivers there. We're pleased with the performance on both fronts and would expect that the spend per clients will continue to show strength going forward.
Marvin Fong : Great. Thanks, Jeff. Thank you, Hayden.
Jeff Mc Combs : Sure.
Operator: Thank you. Our next question comes from the line of Rohit Kulkarni from MKM Partners. Please, go ahead.
Rohit Kulkarni : Great, thanks. A couple, one is on this online login marketplace Company that you mentioned that's been already $10 million in spending in the first year. I think just can you talk through what was it about this Company or that use cases that led to this growth? Can you replicate this across clients? Is this about a specific type of thing that this Company was trying to do or something that you enable them to do? Then I have a couple of other follow-ups.
Hayden Brown : What we see with this Company is the sales team had an excellent strategy in going after the right customer at the outset. And that really is the playbook they've been building. Then the ramp to the level of spend, the $10 million to spend in the first year is definitely not typical. We see a lot of customers ramping to a million dollars of spend faster and faster. Although usually they don't even get to that level of spend in the year. But the good news is our team has been getting customers to that $1 million mark, is an increasing rate which has been great to see. And in this case, the team also did a fantastic job building this rapid expansion playbook, once the account was landed in terms of getting more and more hiring managers within the Company aware of the program, and migrating all of this talent that the Company was already working with onto the upper platform using our Bring Your Own Talent solution out of the gate. And so, we just executed incredibly well top to bottom on this account, and I think -- well, again, this is larger than the typical account that we might be closing is definitely not our largest, and it's a playbook that the team is getting better and better at replicating, which is a great sign.
Rohit Kulkarni : Okay good. And on enterprise and the lead -- the land team rather, and expand team -- the color that you have on the guidance or the spend plans over the next year. Can you just reconcile that with what you said back in the Analyst Day? I think I have these notes 18 account execs, and they could be 16 [Indiscernible]. Since then [Indiscernible] with this land and expand teams’ aspects.
Jeff Mc Combs : Sure. The Land team continues to perform very well. We indicated that our target productivity levels are roughly 6 deals per rep. They're comfortably exceeding those levels, providing us a ton of confidence that we can invest aggressively behind the opportunity. And there's a lot of work that needs to be done to make sure we do that well. So, we're balancing both that, aggressiveness and operationalization challenges, but we expect to roughly double the team over the next year. I'll give you a kind of order of magnitude sense for where we would expect to end up at the end of 2022. We really are excited by the opportunity with the enterprise space bolters as Hayden just talked about, that last customer represents an indication of what is possible. Clearly a bit of an outlier right now, but there's a significant opportunity here on the execution by the team, is really, really strong.
Rohit Kulkarni : Okay. And last one, if I could. On this convertible note, proceeds as in any particular call out or the way you're thinking about investments, organic, inorganic next year. Anything that we should think about, how you could be deploying the extra cushion that you have right now?
Jeff Mc Combs: Charles, start -- at a high-level market condition were great, so we wanted to make sure that we took advantage of those. And built up the Balance Sheet to put ourselves in a good position to be able to continue to invest aggressively. We are focused on growth and want to make sure that we can invest as much as we possibly can in the opportunities that clear our financial hurdles. Whether that's in sales, brand marketing, tech, or M&A. So, all of those are potential areas that we potentially would use for that. We have no updates, Nick, nor would we share them. If we did on the M&A front, but we're excited by both the organic opportunities we have to grow the Company. And we'll continue to be cognizant of inorganic opportunities out there as well.
Rohit Kulkarni : Okay -- okay Thanks, Jeff. Thanks, Hayden.
Operator: Thank you, our last question comes from the line of Brent Thill from Jefferies, please go ahead.
Brent Thill: Hi. Thank you. This is chime again for Brenthill. Had a couple of questions. First on talent scout, I mean, it sounds like it would be helpful, I guess with the take rate as well as potentially driving more spend per client. But wondering if you could share some really feedback in terms of where you're seeing the adaption, the type of customers or categories? Thank you.
Hayden Brown : We're seeing great progress with talent scout. and one of the examples of that was we increased the average time to deliver a short crest we brought that down in the quarter by 30%. And I'd say, John, that there were two primary client personas that talent scout really goes after; 1 is customers who typically buy from staffing firms and are looking for are very easy out-of-the-box way to get pre -vetted talent, and this really meets those needs. And the other percentage of this goes after has really high-value clients who are already inside of our talent marketplace, and they're looking for an alternative when they don't want to take the time or the effort to do their own sourcing, and they really want to trust us to do a lot of that upfront legwork for them. I think even though it's very early, and this offering is very new and we haven't really built all of the acquisition channels around it yet, and all the cross-sell channels, even inside of our own work marketplace to expose it to customers, one of the things I love about it is seeing the repeat buy rates that we're already getting from customers who have been through this experience once, and are coming back and saying that was awesome. I want to do this a second time or third time. So, the product market fit that we're seeing here is very high. The NPS scores from customers are very high. And we're just in the Process of building out how to expose this to more of the market, because we think there are a lot of customers out there who really want this type of an offering.
Brent Thill: It's very helpful. Thank you. And then second question on advertising opportunities from reading the shareholder letter, it looks like it's different than the availability badge and the boosting using [Indiscernible]. If that is right, could you talk about what kind of advertising opportunity you see -- just a little bit more detail onto how they might work.
Hayden Brown : I think the opportunity here is really around enabling -- putting more control in the hands of both sides of the marketplace. In the case of those features we launched last quarter with availability badges, boosted proposals. These are examples of giving talent more control over really signaling to the market that they are available, interested in new work, and really standing out from the crowd in the moments when they're looking for those next work opportunities. And so that's what these features do. Clearly, there are other client-side opportunities as well where they could potentially pay to get more visibility with the talent side of the marketplace. So, our opportunities exist on both sides for parties to increase their visibility in front of the other side of the market. But these 2 features represent kind of our first forays into doing more to enable that increased visibility. Which is a really valuable signal because obviously people only pay for that visibility when they're serious or high-intent, they're highly qualified typically to participate in those work opportunities. And the early testing we've done around that has validated some of those early hypotheses about the quality that those signals would generate for us, not just other aspects of value. So, it's early for us in the SPAC, but certainly an area where I think there's a lot more runway for us.
Brent Thill: Great. Thank you very much.
Hayden Brown : Sure. Thank you.
Operator: Thank you. This concludes our Q&A session. At this time, I would like to turn the call back over to Evan Barbosa, Vice President of Investor Relations for closing remarks.
Evan Barbosa : Thanks. On behalf of the entire Upwork team, thank you for joining us today and thank you for your interest in Upwork. If you need any clarifications or have any follow-up questions, please do not hesitate to reach out to me at Investor@upwork.com. This concludes our call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may disconnect.